Operator: Good morning and welcome to the Sabre Second Quarter 2022 Earnings Conference Call. My name is Amanda and I will be your operator. As a reminder, please note today's call is being recorded. I will now turn the call over to the President of Investor Relations, Kevin Crissey. Please go ahead, sir.
Kevin Crissey: Thanks Amanda and good morning, everyone. Thank you for joining us for our second quarter 2022 earnings call. This morning we issued an earnings press release which is available on our website at investors.sabre.com. A slide presentation which accompanies today's prepared remarks is also available during this call on the Sabre Investor Relations web page. A replay of today's call will be available on our website later this morning. We would like to advise you that our comments contain forward-looking statements that represent our beliefs or expectations about future events, including the duration and effects of COVID-19, industry and recovery trends, benefits from our technology transformation, and commercial and strategic arrangements, our financial outlook and targets, expected revenue, costs and expenses, cost savings, margins, and liquidity, among others. All forward-looking statements involve risks and uncertainties that may cause actual results to differ materially from the statements made on today's conference call. More information on these risks and uncertainties is contained in our earnings release issued this morning and our SEC filings, including our Q1 2022 Form 10-Q and 2021 Form 10-K. Throughout today's call, we will also be presenting certain non-GAAP financial measures. References during today's call to adjusted operating income, adjusted net income, adjusted EBITDA, adjusted EBITDA margin, adjusted EPS, and free cash flow have been adjusted to exclude certain items. The most directly comparable GAAP measures and reconciliations for non-GAAP measures are available in our earnings release and other documents posted on our website at investors.sabre.com. Participating with me, are Sean Menke, Chair of the Board and Chief Executive Officer; Kurt Ekert, our President; and Doug Barnett, our Chief Financial Officer. With that, I'll turn the call over to Sean.
Sean Menke: Thanks Kevin. Good morning everyone and thank you for joining for us today. On slide four, you can see an overview of the topics Kurt, Doug, and I will cover on today’s call. I’ll start by providing perspective on the trends we are seeing in the travel marketplace, including specific bookings, passengers boarded, and hospitality CRS transaction trends. Kurt will then discuss what we expect those trends to mean for our 2022 financial results and also describe the meaningful progress we made in the second quarter toward our technology transformation. Finally, Doug will take you through the financial results of the quarter. But, before I start, I want to thank my Sabre team members worldwide. They continue to do an exceptional job serving our customers while helping us become the premier global technology platform in travel. Turning to slide five, there are a lot of cross currents in the market right now, with COVID travel restrictions receding but macroeconomic forecasts generally falling. I’d like to take a couple minutes to provide perspective on how we see the current environment. As the impact of the Omicron variant receded in January of this year, more countries relaxed travel restrictions and bookings started to steadily improve again. Relative to 2019, the second quarter of 2022 actually showed the strongest sequential quarterly bookings improvement since the pandemic recovery started in June 2020. Corporate and international travel accelerated nicely during the quarter, driving our distribution revenue per booking higher. Hotel CRS transactions continued to lead the recovery and in the second quarter of 2022 were 102% compared to the same period in 2019. IT Solutions Passengers Boarded recovered 89% in the second quarter, versus the same period in 2019. The total distribution bookings recovery was 57%, which equates to a 63% revenue recovery as a result of the higher booking rate achieved in the second quarter of 2022, versus the same period in 2019. The sequential quarterly recovery versus 2019 was greater than 10 percentage points in every region in the second quarter. APAC continues to be the slowest to recover and Latin America the most recovered. Excluding the impact of Expedia, our recovery was in-line with or better than the broader GDS industry recovery. Late in Q2 and into July, we’ve seen the rate of recovery moderate. Globally, we believe the desire to travel continues to be very strong. In fact, consumer demand is so great that in a number of countries, particularly in Europe, travel demand currently outpaces the ability of airlines and airports to efficiently handle the passenger volume due to staffing shortages and other factors. This has caused delays, cancellations, lost bags, and lower customer satisfaction, which we believe has constrained near-term net new bookings as passengers seek to avoid these issues. We believe that in response to these operational challenges, airlines have reduced their schedules in some countries. They are still flying more seats than they were earlier in the COVID pandemic recovery but capacity constraints have limited their ability to fully match customer demand. Consequently, airline seat capacity is currently below demand, which has driven airfares up significantly. For example, yield, or a passenger’s price per mile, was up about 33% year-over-year year in the second quarter of 2022 for the three largest US full service airlines, American, Delta, and United. So, we believe we are temporarily in a capacity constrained period with higher than normal fares, but, importantly, also with consumers eager to fly despite these challenges. The good news, for travelers and for Sabre, is that airlines and airports are working aggressively to improve their operational throughput and have significant financial incentives to do so. Many airlines have been aggressively hiring and training not just pilots, but also other inflight personnel and airport operations staff to provide operational flexibility. This hiring has driven airlines’ unit costs sharply higher and they want to increase aircraft utilization and seat capacity to help spread their costs. For example, several large U.S. airlines suggested on their second quarter earnings calls that they expect 2023 capacity to be up more than 15 percentage points from current levels. As we look forward to the balance of 2022, we are optimistic for a few different reasons. First, over the last 18 months, we have seen a strong correlation between hospitality and distribution booking curves with hospitality as a forward indicator of improvement. On this chart you can see the improving hospitality trend. Even though it is less COVID-related than prior months, the correlation is still evident. Second, forward air bookings for travel in August, and more specifically, September and October are tracking similar to that experienced in stronger recovery months. If these trends continue, we would assume that passengers are currently looking beyond the near-term operational issues and that any recessionary pressure has not yet impacted future travel. Moving to slide six. As we’ve discussed before, international bookings are generally more profitable than domestic bookings for Sabre. Consequently, as international flying returns more fully, we expect our profitability to improve. To provide context for this opportunity, the table presented here shows Sabre’s net air booking recovery by region broken out between domestic and international flying. On a global basis, in June Sabre’s international recovery was only about six percentage points below domestic. However, we believe Expedia’s share reduction masks the true international recovery opportunity because Expedia’s bookings are mostly low-margin, North America domestic bookings. Excluding Expedia and its weighted bookings from the relevant periods, in June, Sabre’s global domestic recovery versus 2019 was about 25 percentage points more than international. In Asia-Pacific, international bookings have only recovered to about 40% of 2019 levels. The willingness to fly in that region is strong as evidenced by the domestic recovery, but current travel restrictions greatly curtail APAC international flying. We estimate that if APAC were to recover to the average of other regions, it would increase our annualized revenue by more than $100 million. Let me now turn the call over to Kurt to walk you through what the trends I just outlined mean for our Financial Outlook and to provide an update regarding our technology transformation. Kurt?
Kurt Ekert: Thank you, Sean and hello everyone. First I’d echo Sean’s thanks to my fellow Sabre teammates around the world. I’ve been here seven months now and deeply appreciate the hard work of each of my teammates to serve our customers and to drive Sabre forward. Turning to slide number eight [ph]. Today we increased our 2022 revenue and adjusted EBITDA outlook for each of the booking recovery scenarios. Specifically, we expect adjusted EBITDA to exceed our prior expectation by at least $85 million under each of the bookings recovery scenarios. The improvement in forecast includes our better-than-expected second quarter adjusted EBITDA of $24 million, which was driven in part by stronger-than-anticipated revenue per booking as our business mix improved. In addition, we expect to add incremental bookings in the back half of the year from recent new customer contracts. Moving to slide nine [ph], given concerns regarding a possible economic slowdown, we thought it would be useful to provide perspective for how COVID impacted global air travel in 2020 to 2022, and compare that to how recessions have historically reduced travel. As you can see from the table on the right side of this slide, global airline passengers tend to grow at a multiple of GDP, and air travel also tends to be economically resilient. In past economic downturns, the largest calendar year drop in global passengers was only about 3%. Typically, when a recession occurs, airlines reduce fares and find price elastic passengers willing to travel at a discount. The COVID pandemic’s effect on air travel, as you can see in the chart, was completely different. For perhaps the first time in modern aviation history, due to global travel restrictions, there were essentially no customers able to take advantage of lower airfares. Airlines resorted to slashing capacity, reducing staff, raising capital, and waiting for travel lanes to re-open. As the COVID crisis has receded, we are seeing airlines reverse these decisions. They are adding capacity, staffing back up, and preparing for more normal times. We estimate about 1.5 billion fewer airline passengers will fly in 2022 than would have had the COVID pandemic not happened. This admittedly rough estimate represents the gap between how many global passengers we estimate will actually fly this year and the number of global passengers in 2019 grown at just 2.5% each year to 2022. Please turn to slide number 10 [ph]. As we’ve highlighted many times, our technology transformation, which includes mainframe offload and migration to Google Cloud, is a key driver of expected savings and margin improvement by 2025. Additionally, our technology transformation is expected to unlock many product enhancement opportunities, while significantly increasing our productivity, flexibility, and speed to market, which we believe will resonate with our customers. I am pleased with the progress we made in the second quarter toward our 2022 technology milestones and our tech transformation remains on track to achieve stated goals by the end of 2024. As a reminder, our two key technology milestones for 2022 are to exit our Sabre-managed data centers and migrate to Google Cloud, and to offload Passenger Name Record, a customer reservations database, from the mainframe to Google Cloud and begin client migrations. In the second quarter, we migrated Hospitality Solutions’ Community Central Reservations System on-schedule to Google Cloud Platform. This was a solid win for our overall cloud migration efforts as the CCRS is the largest Hospitality Solutions’ platform, with more than 30,000 properties. Our Hospitality business can now unlock the benefits of greater scalability, agility, and velocity provided by Google Cloud. During the second quarter, we also completed a regional extension of Google Cloud Platform in Pryor, Oklahoma. This regional extension is expected to facilitate rapid migration of databases currently hosted in Tulsa. Finally, we increased our share of servers on Google Cloud by another eight percentage points since the first quarter of 2022. As of June 30, we had 36% of our total servers in Google Cloud Platform and continue to expect to end the year with 65% of servers in Google Cloud and 90% of servers in a public cloud. I’ll now hand the call over to Doug.
Doug Barnett: Thank you, Kurt and good morning everyone. Turning to slide 10, our financial results in the second quarter of 2022 came in better than expected as the travel recovery accelerated and our mix of business improved. Total revenue was $658 million, a significant improvement versus revenue of $420 million in Q2 last year, primarily due to the continued recovery in global air, hotel, and other travel bookings. Distribution revenue totaled $432 million, a near doubling of Q2 2021’s $218 million. Our distribution bookings totaled 81 million in the quarter. Compared to 2019, net air bookings recovered to 52%, 56%, and 60% in April, May, and June and 56% in the quarter as a whole. Our average booking fee of $5.35 in the second quarter exceeded our forecast as our business mix continued to improve and cancellation activity was lower than expected. The $5.35 average booking fee in the second quarter compares to $5.28 last quarter, $4.96 in the fourth quarter of 2021 and $4.59 in the third quarter of 2021. Additionally, the average booking fee attained in 2Q was 10.7% higher than in the same period in 2019. The continued sequential improvement is consistent with the broadening of the recovery into more profitable regions and types of travel. IT Solutions revenue totaled $168 million in the quarter, an improvement versus revenue of $155 million last year. This is a solid result considering we sold our Air Centre portfolio in the first quarter of 2022, which created a challenging year-over-year comparison. Passengers boarded totaled 160 million, representing an 89% recovery versus the second quarter of 2019. Hospitality Solutions revenue totaled $66 million, an improvement versus revenue of $51 million in Q2 2021. Central reservation system transactions were at 102% of 2019 levels and totaled $30 million in the quarter. Adjusted EBITDA of $24 million showed significant year-over-year improvement as recovery from the COVID-19 pandemic continued. The strong year-over-year improvement in revenue in the quarter was partially offset by increased Travel Solutions incentives expense and Hospitality Solutions transaction fees from higher volumes. As expected, our technology costs increased due to higher hosting costs associated with the volume recovery, and higher labor and professional service expenses associated with our technology transformation. Operating income, net income, and EPS all improved versus the prior year quarter. Free cash flow was negative $89 million in the second quarter. We continue to expect revenue, earnings, and free cash flow to follow a pattern similar to what we experienced in 2021, with the back half of the year stronger than the front. We expect free cash flow to turn positive in the fourth quarter of 2022. During the second quarter, we closed our $80 million investment in shares of Global Business Travel Group, or GBT. This payment is an investing cash flow and therefore is not considered part of free cash flow. We ended the second quarter with a cash balance of about $1 billion. In conclusion, the second quarter of 2022 was better than expected, we are making solid progress on our technology transformation, and we continue to drive toward the medium-term financial objectives previously outlined. Sean, back to you.
Sean Menke: Great. Thanks Doug. Before I open the call for Q&A, I want to express my thanks to Doug and wish him a fantastic retirement. Doug’s tenure with Sabre included the largest exogenous shock ever faced by the company, a global pandemic. Doug and his finance team quickly secured the liquidity and financial flexibility to ensure we could manage through the pandemic without having to stop investments critical for our future, including our technology transformation. During his time at Sabre, Doug also oversaw the execution of multi-year agreements with Google and DXC as well as the consolidation of our global headquarters, including its sale and lease-back. Additionally, Doug has led the investment in Global Business Systems expected to greatly improve our efficiency and support new business models for the future. Doug will be retiring from Sabre at the end of October. You may have seen our announcement last week that Mike Randolfi will be joining Sabre as our new Chief Financial Officer later this month to allow a period of transition between the two leaders. Doug, I know I can speak for all of our Sabre teammates in wishing you great happiness in your next adventures. Thank you for all you’ve done. And with that Amanda, we'd like to open up the call for Q&A.
Operator: Thank you. [Operator Instructions] Our first question is from Mark Moerdler with Bernstein Research. Please go ahead.
Mark Moerdler: Thank you very much for taking my question and it's really nice to see the improvement in the results. A couple quick questions, if you don't mind. Do you have any sense how much limitation at airports are impacting travel volumes? Also, are the increased cancellation of flights primarily due to staffing issues? Is that increasing the booking cancellation rate? And then I have a follow up?
Sean Menke: Yes, so let me let me take that, Mark and thanks for joining us today. I think where I would start is in my prepared remarks I talked about what we're seeing as it related to the booking curve, specifically in September and October. And what I'm encouraged about Mark is really the recovery going back to what we've seen in probably that May timeframe when we're seeing nice recovery taking place. We've seen a little bit of softness in August. So, to answer your question, what we've seen is really operational impacts from airlines, really, that we started seeing in late June in the July timeframe. If you look at the cancellations, we just saw a cancellation spike for a period of time really over that period. So, it's nothing like we were dealing early in the pandemic that you had a lot of cancellations, we've actually seen a moderate back what we were seeing probably in the early June timeframe.
Mark Moerdler: That's not so bad. Kurt, following up on that, you said that 1.5 billion fewer passengers will fly in 2022 than would have had the pandemic not happened. You believe that in theory travel will bounce back to 2019 level -- not to 2019 levels, but 2019 levels for theoretically the compounding of the 2.5 growth that we haven't seen. Is that possible?
Kurt Ekert: Yes, if you look back at the chart over the last 20, 25 years, you've seen a an annual airline growth CAGR of 4% to 5%. Pandemic notwithstanding, we expect that to be the trend for a very long period of time. If you look at the growth, especially in markets like Asia, Middle East, and the amount of aircraft orders that are there, that would indicate there's both robust supply and demand opportunity in the market. As we indicated before, when we looked at forward guidance, we believe that in the next couple of years, we will recover fully back to 2019 levels, and then begin to surpass that both on leisure and on corporate.
Sean Menke: Yes, Mark. I think just to add to that a little bit, because when you do sort of a region-by-region breakdown, I mean, one thing that we have seen, we just talked about it as it relates to the U.S. marketplace, domestic marketplace, you almost see it fully recovered. And when you look at other regions of the world that have opened up you're finding that they essentially fully recovered. The nice thing that we're seeing right now is international capacity has increased and even as capacity has moderated over, call it, the next sort of month or two, we've actually seen that shift of capacity into the international marketplace, because the demand is there and that bodes well for our business, as you know, because it's the higher rates that we actually earn.
Mark Moerdler: That makes sense. I've been traveling internationally. And I can tell you, the planes are all full. So, looks good. Thank you very much for taking my question.
Sean Menke: Great. Thank you, Mark.
Operator: Thank you. And our next question is from the line of Josh Baer with Morgan Stanley. Your line is now open.
Josh Baer: Great. Thanks for the question and good to see the improving business mix have an impact throughout the results. Question is a macro question and sort of that exercise looking at past downturns as a roadmap for potential demand and resiliency looking forward and it's on the corporate side? And just how are you thinking about some of the differences in today's world, the kind of, ubiquity of Zoom and digital alternatives to business meetings and conferences that didn't exist in past downturns when you're thinking about the recovery on the corporate side?
Sean Menke: So, Josh, let me let me kick off, and I'm going to pass it over to Kurt because I think he can provide some insight just based on his previous experience. So, if we look at corporate and corporate recovery, right now, it has closed the gap significantly with what we have been seen on the leisure side. So, with that, we're very pleased. And I think this is a lot stronger than people actually anticipated. I know, we go back a couple of quarters, people who are questioning us relative to how quickly corporate would recover and we're definitely seeing that. I think where Kurt pick up is what we're seeing and hearing as it relates to business mix, it may not be the same that people are traveling to see. But when you think about what's happening within companies, and I can speak about Sabre specifically, we have a lot of internal travel taking place, even though we're in a work from anywhere environment. So, Kurt, I'll pass it over to you.
Kurt Ekert: Yes, thank you, there was clearly a lot of conjecture during COVID about whether was there would be long-term structural impairment resulting from newer technologies, et cetera. We've seen as Sean indicated, a much stronger rebound in corporate travel in 2022 than most people anticipated. There may be some dampening of travel to see customers, although that's been more robust than we expected. And with a fundamental shift to work from anywhere, there's going to be a lot more internal corporate travel than there was previously. We had -- in the 2025 guidance we issued earlier this year, we indicated an assumption of 90% corporate recovery by that point in time. I can tell you I'm much more bullish about where corporate will be at that point in time than I was six months ago. And I think that as you speak to TMCs and corporate travel managers, they would echo that.
Josh Baer: Got it. And so just to clarify -- I mean, we didn't talk about the 2025 targets today. But if the assumption in them is still 90% recovery, if it was 100% or more, that would be upside to those scenarios?
Kurt Ekert: Correct.
Josh Baer: Okay, great. Thank you.
Sean Menke: Thanks Josh.
Operator: Thank you. And our next question is from line of Jed Kelly with Oppenheimer. Your line is open.
Jed Kelly: Hey, great. Thanks for taking my questions. Nice job on the results and Doug, congrats on the retirement. Two questions if I may. Just circling back on the corporate travel recovery, can you kind of talk about how we should think about that impacting your margins in the back half and into 2023? And then can you talk about -- as the airlines figure out managing their logistics, say in the next six to 12 months, what does that do to your solutions pipeline? Like you expect them to start to engage and more contracts and look for more solution services. Thank you.
Sean Menke: Yes, Jed. Thanks for joining us. I'm going to let Kurt tackle that first question. And then I'll take the second question.
Kurt Ekert: Yes, so we've talked about before, and I think this was in Doug's remarks that our revenue per booking increases with a shift toward long haul and corporate recovery. We had previously, in prior calls providing guidance that is compared to 2019 and excluding Expedia, you should expect to see our revenue per booking increased by 10% to 15% to a range of $5.30 to $5.50. So, we do expect to see upside in the second half of the year, as our GDS or distribution mix continues to improve with the recovery in long haul international and also corporate. So, we think there is upside there.
Sean Menke: And then to your second question, Jed. As it relates to the pipeline and the activities from my perspective, it doesn't change anything as it relates to the pipeline and the activity that's going on. I think Kurt would echo that the sales team, specifically on the airline IT beat on the low cost carriers and full service carriers is very active right now, because people are thinking long-term. The operational issues that airlines are dealing with right now, I believe is temporary, because as I stated in my prepared comments, they need the capacity out there from a cost perspective. You're still seeing the higher yields in the marketplace. If you go back relative to what airlines have articulated, they're expecting high revenues again, in the third quarter. So, again, sort of a temporary, maybe slow down based on the capacity piece, but long-term pipeline, we feel good.
Jed Kelly: And then just to follow-up, just with the stronger dollar in terms of the potential for more Americans to maybe want to travel abroad, because obviously stronger dollar benefits them. Do you see a benefit from that? Like, how does that impact you volume-wise? Thanks.
Doug Barnett: Well, I'd say if more Americans want to travel, that's how they benefit. Just remember that the vast majority of our revenues are already in dollars. So, there's no FX impact from the strong dollar.
Sean Menke: But from a booking perspective, Jed, just going back, I think a lot of us have been traveling throughout Europe and other places, there's a lot of U.S. citizens that are traveling abroad and we expect that to continue.
Jed Kelly: Thank you.
Operator: Thank you. And our next question is from the line of Victor Cheng with Bank of America. Victor your line is now open.
Victor Cheng: Thank you. Congrats on the solid quarter. Thanks for taking my questions. A couple if I may. First of all, can you give us some color on the recent new customer contracts you alluded to earlier, is it leisure, corporate, and in which regions were you're displacing? And then secondly, just going back to the point of revenue per booking, what are some of the key drivers? Is it purely the mix of driving it or do you see more inflationary pressure or ticket pricing driving the revenue per booking? And then lastly, should we still expect free cash flow positive by Q4 if the volume outlook is at the lower end of your range at 50%?
Sean Menke: So, there's a lot of questions in there. I'm going to let Kurt take the first question, then I'll circle back to Doug on your last question.
Kurt Ekert: Hey Victor, hi. On the first question, which I think is our success on the customer front. So, we have had some nice wins in all lines of business, especially in distribution. You know about some, for example, recent like GBT and Hopper, there are also some other wins, which we've not, at this point announced, you can expect to see volume gains in the back half of the year that are baked into our full year guidance and there will be additional sequential gains that we expect to see in 2023.
Doug Barnett: And yes, two questions. One with the booking with the free cash flow. Yes, under any scenario -- the scenarios we presented, we expect to be free cash flow positive in the fourth quarter. And then you're correct, the business mix is what's helping drive the average revenue per booking fee.
Sean Menke: Yes, Victor, that's why we actually put the one slide out there, because I think it's sort of indicative. This is one thing we have been talking about and we're actually seeing it play out is as the mix moves in our favor, we're going to see improvements in the booking fee and that's exactly what's taking place right now.
Victor Cheng: Thank you. Just one more follow-up on that is, do you expect given the mix improve the revenue per booking to continue to improve in Q3 and Q4?
Sean Menke: We have not provided guide, but as you would think relative to the mix and what's taking place, it's moving favorably in our direction.
Victor Cheng: Got it. Thank you.
Operator: Thank you. And at this time, I'm showing no further questions. I'd like to turn the call back over to Mr. Menke for closing remarks.
Sean Menke: Great. Thank you very much, Amanda. So, as you would imagine, we're very proud of the progress we made in the second quarter. As you can see as it relates to just the Q&A, as well as our comments, we're pretty optimistic about the future and what's taking place and we look forward to talking to you at -- in November--
Operator: Thank you again for joining us this morning. We appreciate your interest in Sabre and look forward to speaking with you again soon.